Operator: Ladies and gentlemen, thank you for standing by. Welcome to the PAA and PNG Fourth Quarter and Full Year 2012 Results. At this time, everyone is in a listen-only mode. Later, we’ll have a question-and-answer session and the instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. I’d now like to turn the conference over to our host, Director, Investor Relations, Mr. Roy Lamoreaux. Please go ahead, sir.
Roy I. Lamoreaux: Thank you. Good morning. Welcome to our fourth quarter full year 2012 results conference call. The slide presentation for today’s call is available under the Conference Call tab of the Investor Relations section of our websites at paalp.com and pnglp.com. I would mention that throughout the call, we will refer to the company by their New York Stock Exchange ticker symbols of PAA and PNG, respectively. As a reminder, Plains All American owns a 2% general partner interest in all of the incentive distribution rights and approximately 62% of the limited partner interest in PNG, which accordingly is consolidated into PAA’s results. In addition to reviewing recent results, we’ll provide forward-looking comments on the partnerships’ outlook for the future. In order to avail ourselves with the Safe Harbor precepts that encourage companies to provide this type of information, we direct you to the risks and warnings set forth in the partnerships’ most recent and future filings with the Securities and Exchange Commission. Today’s presentation will also include references to certain non-GAAP financial measures such as EBITDA. The non-GAAP Reconciliations section of our websites reconcile certain non-GAAP financial measures to the most directly comparable GAAP financial measures and provide a table of selected items that impact comparability of the partnerships’ reported financial information. References to adjusted financial metrics exclude the effect of these selected items. Also for PAA, all references to net income are references to net income attributable to Plains. Today’s call will be chaired by Greg L. Armstrong, Chairman and CEO of PAA and PNG. Also participating in the call are Harry Pefanis, President and COO of PAA; Dean Liollio, President of PNG; and Al Swanson, Executive Vice President and Chief Financial Officer of PAA and PNG. In addition to these gentlemen and myself, we will have some other members of our management team present and available for the question-and-answer session. With that, I’ll turn the call over to Greg.
Greg L. Armstrong: Thanks, Roy. Good morning and welcome to everyone. Let me start off today’s call by briefly recapping PAA’s fourth quarter and full year financial results. Yesterday after market close, PAA reported fourth quarter adjusted EBITDA of $609 million, which marked a very strong finish to a record setting year. These results exceeded the midpoint of our guidance by $89 million or 17% and we are $64 million above the high-end of our guidance. In comparison to last year’s fourth quarter, adjusted EBITDA, adjusted net income, and adjusted net income per diluted unit increased by 29%, 33% and 23% respectively. With regard to annual performance during 2012, we delivered year-over-year increases of 32%, 38% and 28% in adjusted EBITDA, adjusted net income, and adjusted net income per diluted unit respectively. Highlights of PAA’s fourth quarter and full year performance for 2012 are reflected on Slide 3. 2012 was a record year performance for PAA in which we achieved or exceeded each of the goals we set at the beginning of the year. A recap of our performance versus goals is set forth on Slide 4. In addition to delivering results above midpoint guidance in each quarter of the year, we closed and substantially integrated the BP Canadian NGL acquisition, which was under contract at the end of 2011. We also initiated and closed an additional $650 million of complementary acquisitions and completed our 2012 organic growth capital program materially on time and on budget. Furthermore, we raised distributions in 2012 by just over 9% through November, which was in line with a high-end of our 2012 target range of 8% to 9% while generating distribution coverage of 160%. In January we declared an increase in our annualized distribution to be paid next week to $2.25 per common unit, which equates to 9.8% year-over-year increase over the distribution payable last February. As a result, our continued strong results, our extended visibility for organic growth, recent acquisitions, and very solid distribution coverage, we recently increased the range of our target distribution goal for 2013 from 7% to 8% to a level of 9% to 10%. As shown on Slide 5, PAA has increased its distribution in each of the last 14 quarters and in 33 out of the last 35 quarters delivering compound annual distribution growth of approximately 7.7% over the past 12 years. Yesterday evening we furnished financial and operating guidance for the first quarter and full year of 2013. As a result of acquisitions that closed in the fourth quarter and ongoing refinements to our forecast, we increased the midpoint of our full year 2013 adjusted EBITDA guidance by $100 million relative to the preliminary guidance provided in November. As reflected on Slide 6, this guidance includes a 15% year-over-year increase in adjusted segment profit performance from our fee-based segments. Coming off the year in which market conditions were extremely favorable for our Supply and Logistics segment, our guidance for this segment assumes a return to baseline tight market conditions after the first quarter of 2013 as infrastructure expansions are expected to address bottleneck situations in a couple of regions. This assumption results in an approximate $260 million year-over-year reduction in our Supply and Logistic segment profit relative to last year and total 2013 EBITDA guidance for PAA of $2.025 billion, which is approximately $82 million less than our 2012 results. I would point out that market conditions remain favorable beyond the first quarter of 2013, there is an upward bias to our guidance. I would also note that based on the midpoint of both our financial guidance for 2013 and our 9% to 10% target distribution growth for 2013. We expect distribution coverage to remain very robust at around 125%. During the remainder of today’s call, we will discuss the specifics of PAAs segment performance relative to guidance, our expansion capital program, recent acquisitions and integration activities, our financial position and the major drivers and assumption supporting PAAs financial and operating guidance. We will also address similar information for PNG. At the end of the call, I will provide a brief overview of our rail activities and discuss our goals for 2013 as well as our outlook for the future. With that, I’ll turn the call over to Harry.
Harry N. Pefanis: Thanks, Greg. During my section of the call, I’ll review our fourth quarter operating results compared to the midpoint of our guidance, the operational assumptions used to generate our 2013 guidance and our 2013 capital program as well as our recent acquisition activities. So as shown on Slide 7, adjusted segment profit for the Transportation segment was $198 million, which was $5 million above the midpoint of our guidance. Volumes of 3.66 million barrels per day were slightly ahead of guidance. Per unit basis, adjusted segment profit was $0.59 per barrel. Segment profit benefited from higher volumes, partially offset by expenses related to repairs and remediation cost for release we experienced earlier this year. Adjusted segment profit for the facility segment was $141 million or approximately $8 million above the midpoint of our guidance. Volumes of 113 million barrels per month were in line with guidance and adjusted segment profit per barrel of $0.42 exceeded the midpoint guidance by $0.03 per barrel. The quarter benefited from the contribution from the rail asset acquired from U.S. Development Corp. in December and higher than forecasted profitability from our Canadian NGL facilities, partially offset by higher expenses related to settlement and other miscellaneous items. Adjusted segment profit for the supply and logistic segment was $267 million or $74 million above the midpoint of our guidance for the fourth quarter. Volumes were in line with guidance at approximately 1.1 million barrels per day and adjusted segment profit per barrel was $2.61, or $0.69 above the midpoint of our guidance. Financial overperformance for the quarter was driven by stronger butane margins resulting from various refinery outages and water basis differentials, particularly between Midland and Cushing, but also between [LLX] market and WTI and several of the Canadian crude grades relative to WTI. Let me now move on to Slide 8, and review the operational assumptions used to generate our full-year 2013 guidance. Our guidance includes a benefit of recently completed $500 million USD oil Rail Terminal acquisition and $125 million acquisition of Chesapeake crude oil gathering assets in the Eagle Ford. For our Transportation segment, we expect volumes to average approximately 3.7 million barrels per day, which is a 6.5% increase over 2012 volumes. We expect adjusted segment profit per barrel of $0.61, an approximate 5% increase over 2012. The volume increase will include increases of approximately 105,000 barrels per day from our Permian basin pipelines and 90,000 barrels per day from our Eagle Ford assets, plus a full year contribution from the BP NGL pipelines, partially offset by planned asset sale in the second quarter. Average tariff rates are also expected to increase by approximately 6.5% over last year’s levels. For our Facility segment, we expect an average capacity of 123 million barrels of oil equivalent per month, an increase of 17 million barrels per month over 2012 volumes. The increase is primarily due to a combination of new projects placed in the service throughout the year, the acquisition of the USD rail assets and the full year impact of the BP NGL assets. I would note that we have added a line item in our facility segment guidance for cash we are buying in the bar crude oil rail terminals. Adjusted segment profit is expected to be $0.41 per barrel in 2013. For our Supply and Logistics segment, we expect volumes to average approximately 1.1 million barrels per day compared to 1 million barrels per day in 2012. The increase is due to anticipated increases in our lease gathering activities as we expect domestic production to continue to increase. Adjusted segment profit per barrel is expected to be $1.49, which is $0.84 lower than the $2.33 generated in 2012. We expect the difference to moderate after the first quarter 2013 when additional pipeline infrastructure is expected to be placed in service. However, as Greg mentioned, should differentials be more favorable than expected that would be upside to our guidance. Let’s now move on to our capital program. During 2012, we invested approximately $1.2 billion on organic growth projects, which is in line with the guidance range provided last quarter. As reflected on slide 9, our expansion capital expenditures for 2013 are expected to total approximately $1.1 billion and as is typical with our capital program, this is comprised primarily the numbers of small to medium sized projects. The expected in service timing of the larger projects in our capital program is included on slide 10. I will provide a status update for few of our larger investments now. I will start with our Mississippian Lime pipeline, the segment from our [Galena] [01:42] station to Cushing is expected to be in service in May of 2013 and the segment from [Bakken] to Cushing is expected to be in service by July 2013. Now in South Texas, we clearly expected some of our assets to be in service in December of 2012, however, the in service dates have slipped into 2013. The following assets are expected to be in service by March 1, 2013, plus our Eagle Ford joint venture pipeline from Gardendale to Three Rivers in Corpus Christi, and the northeastern lateral of our Gardendale Gathering System and our stabilizer at Gardendale. Our Corpus Christi dock is expected to be in service by June 1 of 2013, and both the extension of our joint venture line to the enterprise pipeline at Lyssy and the completion of the Western lateral of our Gardendale Gathering System are expected to be in service in August of 2013. A map of our Eagle Ford area assets is reflected on Slide 11. In the Gulf Coast area, we have pipeline project to connect on Mississippi/Alabama pipeline system to Gulf Coast refiner, this is a $95 million that’s supported by shipper commitment and the line is expected to be in service in the fourth quarter of 2013. In Canada, we remain on track to bring our Rainbow II (inaudible) Pipeline into service by June 1 of 2013. The pipeline will transport (inaudible) from Edmonton to Nipisi terminals and meet the increasing demand from heavy oil producers in that area. In the Rockies, we expect to invest approximately $90 million, or 36% share of the cost of Whit Cliff pipeline and that pipeline is operated by (inaudible). At our terminal at St. James, we began construction of our 1.1 million barrel Phases V expansion. We are also improving the connectivity to our rail facilities and the loading capacity of dock. We expect this construction to complete near the end of 2013. We also have several rail projects in progress, including the expansion of our loading capacity at Manitou and Van Hook facilities in the Bakken area and our car facility in the Niobrara. Our DJ basin loading terminal at Tampa Colorado is expected to be in service by the fourth quarter of 2013 and the expansion of our Yorktown, Virginia unloading facility is expected to be in service in July of 2013. We are also developing a rail unloading terminal in the Bakersfield area that will account for our pipeline infrastructure there and we anticipate that being in service in the first half of 2014. Shifting to maintenance capital; our maintenance capital expenditures for the fourth quarter were $48 million resulting in 2012 total expenditures of $170 million. We expect maintenance capital expenditures for 2013 to be in the range of $160 million and $180 million. On the acquisition front, for 2012, we completed approximately $2.3 billion of acquisitions. The vast majority of this total relates to BP, Canadian and NGL assets, the U.S. fee rail terminals and Chesapeake’s Eagle Ford gathering system. And we continue to be very active in evaluating potential opportunities. But for competitive reasons and due to confidentiality restrictions, we’re unable to discuss any specifics with respect to future activities. So with that, I’ll now turn the call over to Dean to discuss PNG’s operating and financial results.
Dean Liollio: Thanks, Harry. In my part of the call, I will review PNG’s fourth quarter and full-year operating and financial results, review PNG’s performance relative to our 2012 goals, provide an update on PNG’s first quarter and full-year 2013 guidance and cover our 2013 goals. Let me begin by discussing PNG’s fourth quarter and full year 2012 results released last night the highlights of which are reflected on slide 12. PNG reported fourth quarter adjusted EBITDA, adjusted net income and adjusted net income per diluted unit of $35.2 million, $23.2 million and $0.31 respectively. In comparison to our 2011 fourth quarter results, adjusted EBITDA increased approximately 5% and adjusted net income and adjusted net income per diluted unit were the same as prior period results. For the full year 2012, PNG reported adjusted EBITDA, adjusted net income and adjusted net income per diluted unit of $122.4 million, $77.2 million and $1.04 respectively. Full year adjusted EBITDA results were $1.4 million above the midpoint of our November guidance. In comparison to our 2011 full year results, adjusted EBITDA, adjusted net income and adjusted net income per diluted unit increased 14%, 13%, and 7% respectively. As reflected on slide 13, these results mark the tenth consecutive quarter that PNG has delivered results in line with or above guidance. With respect to distributions, in January, we announced a quarterly distribution of $1.43 per unit on an annualized basis. This distribution which is payable next week is equal to the distribution that was paid in November 2012. For the full year of 2012, PNG increased distributions paid to limited partners by approximately 2.7% over 2011. Our distribution coverage for the fourth quarter and full-year of 2012 was approximately 124% and 108% respectively. PNG continues to be financially well positioned. Included on slide 14 is a condensed capitalization table. As of December 31, 2012, PNGs long-term debt to capitalization ratio was 29%, the long-term debt-to-adjusted EBITDA ratio was 3.9 times and PNG had a $168 million of committed liquidity. Looking back on last year and as detailed on slide 15, we delivered solid results relative to our first two goals for the year mainly delivering financial results above guidance and completing our organic growth projects on time and on budget. Regarding our organic growth projects, we bought over 17 Bcf of incremental working gas storage capacity into service at Pine Prairie and Southern Pines. Overall, we exited 2012 with aggregate capacity of approximately 93 Bcf, a 22% increase over the 76 Bcf we had entering into 2012. With respect to the third goal to selectively pursue accretive acquisitions, we evaluated a number of opportunities throughout the year, but never made our criteria. I would note that we remain active and pursue the potential acquisition and business development opportunities that provide a strategy complement to our business. Overall, we are pleased with PNG’s 2012 financial performance during a period of continued challenging market conditions and I want to thank the entire PNG team for their contributions to these results. Prior to discussing our 2013 guidance, I would like to note that there has been little movement in the gas storage market since our last conference call with continued narrow seasonal spread. These historical and current values are reflected on Slide 16. As shown on slide 17, as we enter the 2013 storage season and look forward to 2014 and 2015, PNG has leased approximately 95% of its available capacity for the 2013 season and approximately 80% and 50% respectively for the 2014 and 2015 seasons. These figures include two firm storage agreements that totaled 20 Bcf at Pine Prairie and which a subsidiary of PAA will hold the capacity. Both agreements with PPA are market based agreements with the first 10 Bcf contract having a two year term commencing March 31, 2013 and the other 10 Bcf contract having a three-year term starting on the same date. From PNG’s perspective, these agreements allow PNG to maintain a higher percentage of contracted capacity while avoiding the earnings volatility and working capital cost that would – have come along with managing a larger percentage of its capacity on a merchant basis. From PAA’s perspective, they will be able to utilize its lower cost working capital to manage the capacity and we will have the opportunity to realize any option value inherent in the lease storage capacity. We view this as a win-win transaction that has attractive elements for both PNG and PAA. Let me now turn to our 2013 guidance. Our first quarter and full year guidance is reflected on slide 18. PNG’s adjusted EBITDA guidance range for the full year 2013 is $117 million to $123 million with the midpoint of $120 million. On balance, incremental revenues from our recent and planned low cost capacity additions are expected to largely offset the impact of higher priced contract explorations on existing capacity. Based on achievement of the midpoint of our 2013 EBITDA guidance coverage of our current distribution level should approximate 103%. Additionally, our 2013 capital program costs were approximately $42 million of organic growth capital investment. This capital primarily relate to continued capacity expansion via incremental leaching of existing cavern at Pine Prairie and Southern Pines. Our 2013 goals is straightforward. Number one; deliver operating and financial results in line with or above guidance. Two, successfully execute our organic growth program; and three, continued to selectively pursue potential acquisitions and business development opportunities that provide a strategic complement to our business. Although we continue to face challenging market conditions, we are executing our strategy well in the current environment and believe we are positioned to generate upside to our forecast if market conditions improve or volatility increases. We appreciate your continued investment and support of PNG and look forward to updating you on our progress throughout the year. With that, I’ll turn it over to Al.
Al Swanson: Thanks, Dean. During my portion of the call, I will review our financing activities, capitalization, liquidity and distribution coverage as well as our guidance for the first quarter and full year of 2013. As reflected on Slide 19, in December, we raised $750 million through the sale of $400 million of 10 year senior notes and $350 million of 30 year senior notes with interest rates of 2.85% and 4.3% respectively. We also raised a $167 million including our general partners proportionate net capital contribution during the fourth quarter through our continuous equity offering program by issuing 3.6 million common units. This brings the total equity raise through the continuous equity offers and programs for 2012 to $524 million including our general partner’s capital contribution. Additionally, we have retained cash flow and raised equity and debt capital in advance of investing it in our organic or acquisition capital programs. We have applied a portion of the excess proceeds to reduce our inventory related borrowings. Accordingly, we have prefunded the equity component of our 2013 capital program with room to expand the program or complete moderate sized acquisitions without needing to raise more equity. We have also raised sufficient capital to enable us to repay our $250 million, 5.65% senior notes that mature in December 2013 using short-term borrowings from our credit facilities. As a result, given our ongoing access to the continuous equity offering program, absent significant acquisition activities, we do not anticipate we will need to execute in overnight or marketed equity offering in 2013. Before moving on to our balance sheet, liquidity and credit metrics, I wanted to briefly touch on PAA financial growth strategy as summarized on Slide 20. Slide 21 and 22 provide additional detail regarding our consistent and disciplined execution of the strategy, which we believe has served us well. A key component of our strategy includes targeting high BBB equivalent credit ratings and our financial growth strategy has been designed to target this higher credit rating. We were pleased that we received upgrades from the rating agencies during 2012 to BBB and Baa2, which is currently the highest rating level for any MLP. We are hopeful that the rating agencies will expand the MLP eligible ratings to include BBB+, Baa1 rating level. We believe our size; scale, diversification and performance through various cycles as well as our strong credit metrics and discipline adherence to our financial growth strategy should make us a candidate for the inaugural BBB+, Baa1 class of MLPs. Moving on to our balance sheet, liquidity and credit metrics as illustrated on slide 23; PAA ended 2012 with strong capitalization and credit metrics that are favorable to our target and approximately 2.4 billion of committed liquidity. At December 31, PAA’s long-term debt-to-capitalization ratio was 47%. Our total debt-to-capitalization ratio was 51%. Our adjusted EBITDA to interest coverage ratio was 8.2 times and our long-term debt to adjusted EBITDA ratio was 3.1 times. I would also note that slide 24 summarizes relevant information regarding our short-term debt, hedged inventory and linefill as of year end. As we have discussed previously, we target minimum distribution coverage of at least 105% to 110% on baseline distributable cash flow or DCF. When our business outperforms baseline expectations, we can generate meaningfully higher distribution coverage. Our practice has been to retain excess DCF to fund our growth. As reflected on slide 25, PAA has consistently delivered solid distribution growth and coverage throughout a variety of industry conditions. And in 2012, our coverage totaled a 160%. Based on the midpoint of our guidance for DCF and distributions to be paid throughout the year, our coverage for 2013 is forecast to average approximately 125% and we will retain approximately $285 million of excess Bcf or equity capital. This is our leased expenses source of capital and given PAA’s historically strong performance in our Supply and Logistics segment. It is also a meaningful source of capital that enables us to convert market related over performance enduring fee-based cash flow streams. Moving on to PAA’s guidance for the first quarter and full year of 2013 as summarized on slide 26, we are forecasting midpoint adjusted EBITDA for the first quarter of 2013 of $615 million and $2.025 billion for all of 2013. Although our 2013 guidance reflects an approximate 4% decrease in adjusted EBITDA relative to last year, a very important takeaway point is that our fee-based transportation facility segment are more cash to grow 15% in 2013 primarily reflecting the benefit of capital investments made in 2011 and 2012. I would also point out that the $1.1 billion we expect to invest in 2013 is also focused on our fee-based segments and at the majority of the cash flow benefit from these investments will not be realized until 2014 and beyond. We believe the cumulative effect of these capital investments provides us with good visibility for continued multi-year growth in base line adjusted EBITDA. The slight year-over-year decrease in our adjusted EBITDA for 2013 is associated with a 30% decrease in our Supply and Logistics segment as our guidance assumes return to baseline type market conditions after the first quarter. There are number of infrastructure projects that are projected to be placed in the service around the beginning of the second quarter of 2013. As a result, we have adopted a baseline outlook for last nine months of 2013 as it pertains to market opportunities for this segment. As in prior years there is an upward bias to our guidance that market conditions for the Supply and Logistics segment remain favorable beyond the first quarter. We also wanted to share two other observations about our guidance for 2013. The first relates to seasonality that is primarily associated with our NGL business conducted in our Supply and Logistics segment. Our NGL volumes in margins are typically highest in the first and fourth quarters of each year. The forecast for the seasonal impact for Supply and Logistics segments adjusted segment profit is illustrated by the yellow bars on Slide 27. The second observation relates to the quarter-over-quarter results that we expect to generate during 2013. As illustrated on Slide 27, throughout 2013 we expect our fee-based transportation and facility segment to generate favorable comparisons relative to the corresponding quarters of 2012. However, due to the exceptionally strong results delivered in 2012, our guidance assumption that favorable market conditions benefiting the Supply and Logistics segment will not extend beyond the first quarter. Our baseline forecast results negative quarter-over-quarter comparisons for the last three quarters of 2013 relative to the corresponding quarters of 2012. Before turning the call over to Greg, I wanted to mention that our fourth quarter depreciation and amortization expense was approximately $40 million higher than the midpoint of our guidance, primarily due to year-end true ups and adjustments on the carrying cost of certain assets, including the expected asset sale that Harry mentioned earlier. With that, I will turn the call over to Greg.
Greg L. Armstrong: Thanks, Al. Rail related activity especially with respect to crude oil has been tracking a fair amount of the tension both from the industry press and financial analyst reports and we have recently increased our investment rail assets. In relation to our entire business platform, our rail related activity represented relatively modest component of our adjusted EBITDA. However, these activity serve a very important purpose with respect to balancing disconnects and regional supply and demand volumes and qualities and bridging the gas and pipeline access to the East and West Coast. With that in mind, I wanted to take just a few minutes to summarize the strategic rationale for expanding PAA’s rail activities and the crude oil transport over the last few years, as well as our competitive positioning. I intend to be brief and we will hit just the top of the ways with my comments, but we have included some slides in today’s presentation to expand on my comments and there is an even more detailed presentation available on our website. The recent and forecast in Renaissance in U.S. crude oil production is having a profound effect on the transportation routes and modes, by which end markets are supplied. Crude oil flows are changing, new infrastructure is being constructed, and the historical pricing relationships with various qualities and geographic locations of crude oil are in place. As a result, both producers and refiners are actively seeking to optimize their profitability during their dynamic and evolving period in the industry. At PAA, we believe that rail particularly when coupled with the scale and scope of PAA’s existing asset footprint and business model provides our customers with the optionality they seek to take advantage of premium markets in the case of producers and attractively prior feedstock in the case of refiners. As shown on Slide 28, PAA has been directly involved in rail related transportation of energy related products for over 11 years, beginning with our entrance into the NGL business with the acquisition of CANPET in 2001. In 2010, we began expanding our rail transportation activities to improve crude oil, by working closely with USD to construct a rail unloading facility at our St. James Terminal through our facilities segment and also commencing commercial operations for crude oil rail movements to our supply logistics segment. Over the last three years, we’ve taken additional steps to construct or require multiple rail additional loading and unloading facilities including the acquisition of USD’s crude oil rail assets in late 2012. As shown on slide 29 and 30, we currently have an extensive crude oil rail network with loading facilities of service for three most active U.S. shale and resource plays and unloading facilities at currently service markets on the East and Gulf Coast. We are also in the process of developing an additional unloading facility that will enable us to service markets on the West Coast. Our current combined crude oil loading and unloading capacity is 140,000 barrels – 140,000 barrels a day each for loading and unloading capacity. And we have expansion projects underway that will increase our daily loading capacity by 70% and more than double our daily unloading capabilities. We believe that PAA’s combined crude oil and NGL rail network which is shown on slide 31, is one of the largest, if not the largest networks in North America and offers our customers tremendous optionality to transport products and access markets. There will undoubtedly be periods and regions where demand for rail-related transportation services will subside as new pipeline infrastructures are constructed and differentials and end-markets change. As a result, over time rail activity will taper off. But we believe that rail will continue to play a role and balancing the market over the long-term. As detailed fully on slides 32 and 33, given the potential for an extended period of dynamic and volatile market conditions, we believe the combination of scale, scope and flexibility of PAA’s rail capabilities, our extensive network of crude oil and NGL pipelines, terminals, trucks and barges and our proven business model provide PAA with the competitive advantage over other rail participants with smaller scale and limited scope. As Harry indicated, we have expanded our reporting metrics to incorporate additional information on our rail activities and we look forward to updating you on our results in this area in future calls. Rail is just one component of PAA’s story and our positive outlook. As we look forward across all of our business platforms and activities, we believe that PAA is very well positioned to continue to deliver solid operating and financial performance for the next several years and beyond. As represented on slide 34, we expect continued increases in North American crude oil production with much of this activity occurring in specific shale and resource plays throughout the U.S. and Canada or PAA has a significant asset presence. As a result, we expect to enjoy continued strong demand for our services that will not only increase or maintain utilization of our existing assets, but also provide multiple opportunities to expand and extend our asset base on attractive economic terms. These fundamentally sound conditions are a primary driver for our multibillion dollar project portfolio supporting our strong visibility for distribution growth. With this outlook in mind, let me now review our 2013 goals, which are highlighted on slide 35. Specifically, during 2013, we intent to deliver operating and financial performance in line with or above guidance; successfully execute our 2013 capital program and set the stage for continued growth in 2014 and beyond. Increase our November 2013 annualized distribution level by approximately 9% to 10% over our November 2012 distribution level. And finally, selectively pursue additional strategic and accretive acquisitions. We do look forward to updating you on our progress towards these goals throughout the year. Prior to open the call up for questions, I also want to mention that we will be holding a joint PAA and PNG 2013 Analyst Meeting on May 30 in New York. If you have not received an invitation, but would like to attend, please contact our Investor Relations team at 713-646-4489. Once again, thank you for participating today’s call and for your investment in PAA and PNG and the trust that you placed into us. We look forward to updating our activities in May. And operator we are now ready to open the call up for questions.
Operator: Thank you. (Operator Instructions) Our first question is from the line of Darren Horowitz with Raymond James. Please go ahead.
Darren Horowitz – Raymond James: Good morning, guys.
Greg L. Armstrong: Good morning, Darren.
Darren Horowitz – Raymond James: Greg, a couple of questions; the first one kind of leverages us off what you were discussing with regard to Slide 34. When you look at the amount, lower 48 production growth of crude oil specifically in the Eagle Ford and let’s just say, by that 2016 to 2018 timeframe, you get up to wherever it is 1.6 million barrels or 1.8 million barrels a day. How much of an influence do you think that ultimately has not just on the Gulf Coast refinery network, but more importantly on which seems to be a rather looming significant disconnect in the Louisiana Light Sweet, I mean it would occur to us that, you might have effectively a double discount in the Gulf Coast where you see significant dislocations with Louisiana Light relative to brand?
Greg L. Armstrong: Dan, I think it’s fair to say that there is going to be a lot of crosscurrents that are going to challenge conventional relationships for the next several years. And again part of that’s going to be share volume metric and balances and some of that’s going to be over concentration of light sweet crude in particular areas, and I think that’s kind of what you are referencing to. There are a number of alternatives that will become available over time and they will involve I think, for example, what we see in the next 12 months may differ from what we see 12 months beyond that point or 24 months into the future. And so I think Logistics is going to be a critical part of that. Rail, I think is going to be the pressure relief valve. In the short-term, longer-term, there is issues with respect to Jones Act relief and potentially either exporting crude or exporting slightly refined crude products where you have contemplate splitters et cetera. So I think the important thing from our perspective is, we are really prepared to go anyway it wants to and we will be a participant, but I don’t think there is any one solution that will come about and serving none of us are very good at predicting Washington D.C. may or may not do power logical or illogically it appears.
Darren Horowitz – Raymond James: Yeah. Now I appreciate the color. My final question is more on the discussion around condensate production, certainly with the growth coming out of the Eagle Ford and other areas, obviously you’ve got a lot of condensate moving north on Cap line.
 :
Harry N. Pefanis: Hey, Darren, this is Harry. Let me just sort of comment. There are a lot of things driving the market as well, condensate splitter is obviously one alternative. St. James is certainly a location where we could have a condensate splitter. There are also some refineries that are tweaking or hit permits in place to applying to be able to run more lighter crudes too and you’ll see some of the (inaudible) trying on some of the condensates as well. So I think it goes back, a lot of as Greg said earlier, there is going to be a lot of twist and turns over the next couple of years and just trying to position ourselves to be able to participate whether it’s moving up to Canada, going to refineries, going offshore. Greg, chime in if you want to…
Darren Horowitz – Raymond James: Maybe a quarter in St. James?
Greg L. Armstrong: Well, I don’t think we are prepared to comment on that. I will say this Darren that markets are pretty resilient and if the discounts for condensate get widener, the demand for condensate in Canada is going to go up. And we will turnaround and equalize, so I think there is clearly there is no static forecast anywhere. And there is going to be crosscurrents, for example, if the Eagle Ford continues to climb extremely high rates of production. I think it could have an impact because of the differentials on how much crude could be economically drilled in the Bakken, and so, that type of crosscurrents going on. So all I can say is, we try to position ourselves, but no matter what happens we win. In some cases we win big.
Darren Horowitz – Raymond James: Yeah. I appreciate it, Greg. Thanks.
Operator: And we have a question from the line of Steve Sherowski with Goldman Sachs. Please go ahead.
Steven Sherowski – Goldman Sachs & Co.: Hi, good morning. You mentioned in the Supply and Logistics segment that a return to more baseline market conditions is likely to follow the first quarter of this year to the new infrastructure coming online. I was just wondering are you looking that any corridor in particular or just asking in another way is there any particular corridor would that striding the majority of margin goes in the segment.
Greg L. Armstrong: We certainly, we’re seeing some significant activity and opportunities to use our assets and our business model in West Texas and we are seeing differentials widened out quite a bit there Steve. There’s a number of pipeline projects that are supposed to come into full-service of partial service around 1 April, I will say that we have a history of kind of under promise and our performing so it’s likely some of those projects could hit a roadblock or speed bump and if they delay then there is going to be benefit to our business model, but we’re not currently reflecting. I would also point out that the other area that where you have activities going on is in the Rockies, fairly increased rail capacity and the increased stability to unload that capacity has relieved some of the differentials up there, and we expect some of those proportionately to come on in the traffic to pick up. And then also I would just say in the Eagle Ford over the next 12 months, but in the near-term just a quite bit of pipeline capacity coming on. So I would say the biggest three areas the big three shale place right are now South Texas, West Texas and the Bakken so kind of yes to your question all three of those areas.
Steven Sherowski – Goldman Sachs & Co.: Okay, understood. Thanks. Just a quick follow-up question, in your Transportation segment for the first quarter guidance, it looks like the bottom end of the range is a little bit lower than the first quarter of last years result. I was just wondering what scenario would drive that.
Greg L. Armstrong: You got [me to lost here] Harry, you are going to bail out there only available in that.
Harry N. Pefanis: I think it was probably NGL related last year. I think we had a pretty strong first quarter in the NGL segment.
Steven Sherowski – Goldman Sachs & Co.: Okay, primarily NGL related.
Harry N. Pefanis: Yeah. We want to verify that, but I think that was the case.
Steven Sherowski – Goldman Sachs & Co.: Okay, got it. That’s it from me. Thank you.
Harry N. Pefanis: Thank you.
Operator: And we have a question from the line of Brian Zarahn with Barclays. Please go ahead.
Brian J. Zarahn – Barclays Capital: Good morning.
Greg L. Armstrong: Good morning, Brian.
Brian J. Zarahn – Barclays Capital: Just continuing on the rail terminal acquisition, it seems like the majority of the capacity is contracted to third parties. Do you anticipate your marketing group to become a bigger customer over time as contracts roll-off? And can you give us a general sense of what the current contract length is on the real assets?
Greg L. Armstrong: Well, certainly there was a fair component of third-party contracts, but we were also a user of those rail facilities as well, for example, obviously at St. James. And then I would just point out that the answer to your question is, yes, but primarily because of the increase in the capacity, we are going to go from roughly 140,000 barrels a day of loading capacity to 250,000, and we are going to go from 140,000 barrels a day of unloading capacity to over 300,000. A fair portion of that certainly we will available to third parties, when the price is right. But we also have clearly the ability through our Supply and Logistics to actually be a part of that transport. Now, we will always the way we do it. We will charge our Supply and Logistics segment a fee, just the same as we will charge to third-party, so it will show up partially in facilities and then partially in the SNL sector.
Brian J. Zarahn – Barclays Capital: And in terms of contract volumes, sort of shorter term two or three year contracts on average, or can you talk about that a little?
Greg L. Armstrong: Generally, I think Harry, it’s fair to say five years is probably a long-term contract for rail and they will be as short as a year, many spot and you will get several three year type contracts. But I think the longest that we’ve actually initiated inside is probably five years.
Harry N. Pefanis: That is correct.
Brian J. Zarahn – Barclays Capital: Okay. And then in the lease gathering business, if longer-term what type of growth potential do you see on the various basins? I mean, do you think it could be over a million barrels a day in terms of lease gathering?
Greg L. Armstrong: We better. Brian, if you look at what we’re kind of looking for in the Eagle Ford area, clearly we’ve – I think if we had this discussion 18 to 24 months ago, we thought that the Eagle Ford was only going to be probably about 1.2 million barrels a day. We tweaked that out to about 1.6. And in the Permian area where we had originally targeted, probably 1.6, we think that could grow to as high as two. Now there is a lot of – two million barrels there, I’m sorry. And there’s a lot of, again cross current issues. But if you just look at the sheer increase in those volumes and the add-on towards the Bakken, we better be at least maintain our market share. It should drive us up a bunch and we’re not about just maintaining, we’re about drilling.
Brian J. Zarahn – Barclays Capital: Okay. And then last one from me more from an industry perspective, beginning this season, MLP consolidation, some of this is actually done – the part of MLP, can you just give your general view of the pace off consolidation, will it continue or is it just – if you think this is going to be a very gradual process?
Greg L. Armstrong: I think it’s probably going to be pretty dynamic. That word is used a lot around here. But I think Brian we’re up to many plus MLPs today. My understanding is that there’s probably 10 to 15 more in the Hopper. It would surprise me if the answer is that number just gradually goes up and doesn’t contract at all with respect to some consolidation. So I think MLP consolidation will be a component going forward and certainly we’ve got and had our eyes on things and there is fundamental industry logic as to why some of that consolidation should happen. It’s easier to do when the markets aren’t as robust as they are right now, because quite candidly people – capital is abundant and it’s relatively cheap and people rather do their own MLP than they would consolidate. So a little bit of aberration in the market wouldn’t hurt that at all. But I will say structurally MLP consolidation is challenging the move and you have to really be committed to it and you got to know that the sellers committed to it, because if you have a two Tier GP structure on both sides of it, that’s a whole lot of legal fees and investment banking fees to get that yield done.
Brian J. Zarahn – Barclays Capital: Okay, I appreciate the color, Greg.
Greg L. Armstrong: Thank you.
Operator: And our next question from the line of Ross Payne with Wells Fargo. Please go ahead.
Ross Payne – Wells Fargo Securities: Hi, Greg, Ross Payne. Quick question for you. I know Capline is being reversed, its moving condensate north and up into Canada, does it ever make sense to backload some of these rail cars coming into St. James would condensate?
Greg L. Armstrong: Let me perhaps, I think I understood what you meant, but I won’t clarify, Capline right now is not reverse; it’s moving basically crude and condensate north. And it’s probably running, Harry was running that, probably 30% of capacity.
Harry N. Pefanis: 35% may be.
Greg L. Armstrong: Yeah, 35%. So clearly, there is capacity there. I think from time-to-time to fill in for what the discounts are and what the comparable travel logistics are, there could be reasons to bring different types of crudes into St. James to put on the Capline System. I think the answer may be different today than it is six months from now or 18 months because again this robust activity is going all these areas. So I don’t think there’s – it’s really prudent to try and forecast any particular trend as to what’s going to be shipped on that at the margin, because I think the margin will change constantly.
Harry N. Pefanis: I think you might see barge movements come over into St. James and/or Capline and we will setup to receive barge as well.
Ross Payne – Wells Fargo Securities: Okay. All right. So you could also be looking at that as just a crude south at point as well?
Greg L. Armstrong: Yeah, I think you can also look at St. James and we are also making modifications to low ships, and so again I think it’s just going to be a constant state of change. It is such worse we can’t see the change.
Ross Payne – Wells Fargo Securities: That’s a good thing for you guys. All right. Thanks, Greg.
Greg L. Armstrong: Thank you.
Operator: We’ll go next to Becca Followill with U.S. Capital Advisors. Please go ahead.
Becca Followill – U.S. Capital Advisors: Good morning guys.
Greg L. Armstrong: Good morning, Becca.
Becca Followill – U.S. Capital Advisors: Hey, on the crude oil, thanks for providing that additional data, you guys have the first quarter going from 235,000 barrels a day versus average year for 280,000 which implies greater than 300,000 by year-end. Can you talk about the – I know part of it is additional loading and unloading facilities. But can you talk about how money railcars are going to from the first quarter to the fourth quarter and then beyond 2013, what is that trajectory looks like in terms of those volumes?
Greg L. Armstrong: Harry, you want to take that. I can give a directional comment on that, but I think we are forced to pick up close to 2,000 railcars by the end of 2013.
Harry N. Pefanis: It will be just over 6,000 total railcars by the end of 2013. Along with that volume doesn’t necessarily go on our railcar either. But I think the range is probably like 2,500 going to 6,000, yeah I think it.
Greg L. Armstrong: Yeah, on the crude side, Becca, I think it’s probably close to 2,000 just on associated with the crude side earlier. Our NGL is kind of a cost and evolving business and we’ve got bigger obviously when we did acquired BP’s NGL assets. In some cases, we provide railcars to our customers. So they may not be, but we’re actually controlling the direction of those cars. And as Harry said, we actually then have loading capacity that we provide for a fee to somebody who has got there railcar going to a different location and vise versa on unloading.
Becca Followill – U.S. Capital Advisors: Thanks. And then the trajectory beyond 2013?
Greg L. Armstrong: We peak out just about at that level right now as we see it and then we’ve staged in and I don’t want to go into a lot of detail in this call. We certainly will be providing some additional information in our Analyst Meeting on May 30. There is a way I hope to get you there. But we’ll actually we maintain if you will contractual ladders on our railcars, the same way we do on debt maturities just kind of in reverse right now. We think it’s going to be robust for railcars for the next couple of years, but if you were looking at our profile, you’d see us kind of tailing off towards the end of that three to five-year period just because again pipelines of the most efficient way to move crude when you have established rails. Right now, we just see for the next three to five years, those rails are going to be lot clarity as to where the best place to build the pipeline here is, and therefore railcars pretend the most versatile way to get into the best market.
Becca Followill – U.S. Capital Advisors: Thanks. And then on the Supply and Logistic segment same thing, the first quarter LPG sales go from 270,000 barrels a day to full year of 190,000 implying a pretty big drop off across the year? So can you talk about where you see that drop off?
Greg L. Armstrong: It’s the seasonality. I think if you recall back Al’s comments, our fourth quarter and our first quarters are generally our most robust for the NGL sales. In another place, we’re actually storing it. So when we’re storing it, we’re not counting those volumes, it’s actually moving. So clearly what you are seeing is probably some shifting of weak winter in the late 2012 coming into – coming out of storage in 2013 and normalization of that into the December, the fourth quarter of 2013. So there is no underlying story there, deterioration, erosion, it’s just simply the way you shift the seasonality between quarters.
Harry N. Pefanis: Yeah. I think the other thing impact it, if you remember when we did the BP acquisition; we stated that they were sort of net long as a supplier. I think they added in the supplier area. Our LPG business or NGL business is typically, we were – our facilities were end market areas. So a lot of times, we will be buying from third parties to fill our obligations and BP would be selling to third parties to – just far as the supply they had and what you’re seeing in 2013 is a consolidation of that effort. So some of the BP supply is actually going to our markets in 2013. With that – it wasn’t fully implemented in 2012 because of preexisting conditions, or at a range the both of us had.
Becca Followill – U.S. Capital Advisors: Great. Thank you so much guys.
Harry N. Pefanis: Thank you, Becca.
Operator: We’ll go to Connie Hsu with Morningstar. Your line is open.
Connie Hsu – Morningstar, Inc.: Hi, good morning guys. I just have a quick question on plain general partner incentive distribution. With the BP acquisition, the GP agreed to you the first time that $10 million reduction in IDRs. And I’m wondering if this figure – if we should expect it to increase over time especially with larger acquisitions going forward?
Greg L. Armstrong: Just to clarify, Connie this is actually the fourth time that we’ve actually modified the IDRs. It is the first time and the $10 million reference was a permanent reduction. The others have been temporal in connection with the BP acquisition, the other list is out there, we agreed to a $15 million reduction in the IDR for two years and then decreasing to 10 million permanently for perpetually. And so that is kind of the first time we’ve actually had a permanent reduction there. As far as what we’ve always said and would continue to reiterate, our general partners understand the value and the burdens of the IDR and have shown that they will be very flexible to accommodate larger transactions. Clearly the IDR burden increases our cost of capital, that’s really not an issue at all with respect to organic growth, because there is a huge spread between our returns on our projects and our current cost of capital even including the GP IDR, but it really challenges you is on the initial transaction – big transactions, because acquisition transactions typically you are having to pay a higher multiple and it takes time to feather in the synergies or have the commercial benefits that you are forecasting. So I think it’s fair to say that our general partner has vastly said, they all support the growth and make whatever appropriate modifications that’s been requested by management. I think the long answer is they’ve taken us to get approval for an IDR reduction like 48 hours and when we got a transaction that’s in front of them. And so I think what you should walk away from here is that PAA’s general partners can be very flexible and supportive.
Connie Hsu – Morningstar, Inc.: That’s very helpful. Thank you. That’s it from me.
Greg L. Armstrong: Thanks.
Operator: Now we go to John Edwards with Credit Suisse. Please go ahead.
John Edwards – Credit Suisse: Yeah, good morning, everybody. Greg, I was just wondering if you could comment on, given several other partnerships or companies you have been looking to repurposing natural gas pipelines into crude pipelines just your thoughts on how that impacts your plan for strategies going forward?
Greg L. Armstrong: Well, we certainly take all potential projects out there in demand anytime we’re looking at either expanding or our pipelines are building new pipelines or even making long-term commitments with respect to say, railcars et cetera, because clearly, pipelines are the most efficient over time, it just may not be taking into the right market. And so we have looked it, we will certainly monitor all the announced projects, we monitor probably several projects that we know are being looked at that may not be visible for the public. And we’ve got those into our thinking and certainly have reflected a realistic if not conservative impact in the forecast that we provide to the financial community.
John Edwards – Credit Suisse: Okay. And just the thoughts on the number of R&D at the backlog of projects that you’ve got this $1.05 billion to $1.2 billion range for capital expansion this year. So your backlog and maybe, is this a reasonable baseline for the next few years going forward?
Greg L. Armstrong: What we’ve guided to so far is and I was trying to think the last public forecast we’ve made on multi-year. Last year I think we gave kind of some charge that showed that we were going to show, I think, for example for 2013, we showed $700 million to $1 billion kind of range and what we call an upward bias. Clearly, we’re now formalizing our guidance at 1.1 and so that upward bias is true. We’d also given ranges, I think $500 million to $700 million beyond that again with the same kind of upward bias. I think again the takeaway we want the people to know that roughly within the ranges that we’ve given to get the upward bias, we believe that we will be able to generate very distribution growth partly because even with the fall off in investment activity levels. So if the investment activity levels remain in the $1 billion plus range at minimum of the expense that visibility and perhaps even increases either the coverage of the potential growth situation there. In general, I would say we’ve got if we had this discussion 24 months ago, the number was about same now. We had roughly about $5 billion backlog. When I say backlog it’s really a project inventory of portfolio things that we are actively monitoring some are very high probability, some of which are maybe not so high, and then some are actually just in the possible category, but what we’ve seen is that one falls out and another one replaces it or one doubles in size in terms of demand. And so today, we are sitting there again with kind of $5 billion plus. Out of that, we pulled in advance may be the right way to say it. The projects necessary to fill up the $1.1 billion hopefully by the end of this year 2013, we will have grown that $1.1 billion, I would say there is still an upward bias to that based on projects that we’re trying to advance as we speak. But our visibility in terms of what we’ve actually say put in your model is still probably in the $700 million range in 2014 and 2015 each, not because we don’t think it can’t be higher, because it’s just not prudent at this point in time to assume that whatever we’re looking at the environment can’t change. I think we’ve all seen a change, but if you like that answer you’re really going to low at this stage this way.
John Edwards – Credit Suisse: All right, thanks. That’s very helpful. Thank you.
Operator: And we’ll go to Michael Blum with Wells Fargo. Your line is open.
Michael Blum – Wells Fargo Securities: Hi, good morning everybody.
Greg L. Armstrong: Hi, Michael.
Michael Blum – Wells Fargo Securities: Just want to circle back on Ross’ question, just do you have any update in terms of the potential to reverse Capline?
Greg L. Armstrong: There has been a lot more press around it lately, but nothing really that we can report.
Michael Blum – Wells Fargo Securities: Okay. The other question I had was actually around Cushing. It just seems like Cushing inventories keep reaching new highs. There have been talk in the past at some of your meetings about the potential overwhelm at Cushing and Cushing rates being under some pressure as contracts rollover. I’m just curious what you are seeing in terms of the environment there right now and if that still is a good assumption?
Greg L. Armstrong: I think the big difference between and you are right, I think two years ago, we made the comment that we worried that Cushing could be approaching overbuild situation. In fact, it may have gone so far as to say, it probably will be overbuild. But I probably wouldn’t have forecasted 1.6 million barrels a day out of the Eagle Ford and 1.6 million going to 2 million barrels a day out of the Permian, and the Bakken being what it is, and then also having Oklahoma also start to participate in this Renaissance of crude oil production. So today, it’s certainly not overbuild, there is actually more demand and we are actually – some projects ourselves. So I’m going to give you the same answer I gave you two years ago, which is kind of 2.5. I think it’s still going to feel like one of these days it’s going to get overbuild, but we are not seeing it right now. Harry, any comments on that?
Harry N. Pefanis: No, you are right. There is – a lot of these pipelines that are being built into the core doors that move from West Texas down to the Gulf Coast, I’m going to sort of add some ebb and flow differences coming into Cushing, but as Greg said with the growing production forecast in both the Mid-Continent and West Texas, there is certainly the demand for tankage right now.
Greg L. Armstrong: And I would also point out Michael if and when that day ever does come, we think PAA’s tanks are at if not near the top or at the top of list or certainly nearing in terms of desirability, because of their pure functional capabilities versus some of the tanks that are really, purely repositories for financial arbitrage.
Michael Blum – Wells Fargo Securities: Okay, great. That’s very helpful. And my last question is just on PNG. I guess, as capacity rose over there from contracts and would the plan be for PAA to continue to take more of that capacity overtime assuming the market doesn’t improve anytime soon, and is there any limit to how much of that you want to own directly?
Greg L. Armstrong: Yeah, I think the takeaway there is, PAA has been supportive in a lot of ways to PNG and will continue to be. We have, if you look at our capacity not only leased today going out a couple of years, but also including the capacity we expect to build, I think next year we’ll still be 80% leased, assuming no rollovers for our existing customers, okay and assuming no new customers. So I don’t think there’s any real identifiable need for PAA to step up to deploy in the next couple of years. I think part of the situation may depend on how you view the market where you think, the market stay this way forever, but when you call a turn in the market in two or three years, we will be again at the analyst meeting sharing with you some important in depth news on our view of what the natural gas storage market could look like over the next three to five years. And if you ask me that same question, I don’t think that the answers will probably be a little self-evident, but I don’t want to – comment to it on the call here today.
Michael Blum – Wells Fargo Securities: Okay, thank you very much.
Greg L. Armstrong: Thank you.
Operator: We have a question from Ethan Bellamy with Baird. Please go ahead.
Ethan Bellamy – Robert W. Baird & Co.: Hi guys. Let me just follow-up on Michael’s question. Can you help us handicap that probability of acquisitions at PNG and what’s the part of the private owners, are they coming or are they doing normal economics there, they’re waiting for some sort of up turn in that environment before they sell?
Greg L. Armstrong: Great question. I think what is different today and I’ll let Dean dive in here. I think 18 to 24 months ago we were probably one of the first ones that called maybe a bit long that we talked to markets, not only was going to get pretty soft, but it could stay soft for a while, it came in a hurry. I mean clearly, they didn’t look that way in late 2009 or early 2010. But when I showed up, it didn’t look pretty. As far as the potential reduction in need for natural gas storage because of the increasing rises in production in natural gas in U.S. and then also combined with competition in terms of new facilities coming on. I don’t think what we’re hearing now is repeatedly – others are embracing. When you say people announcing that they break even next year on their gas storage facilities etc. That’s not what we were hearing from some companies two years ago. And so I think that the field for potential acquisitions is getting riper and PAA clearly has its view on what long-term gas storage markets will be. It’s got a strong sponsor at PAA and then we can look at it in the mix of our entire business and talk about kind of the countercyclical or counter commodity balances that actually provide good risk management. So I would say, we are going to – can’t call when people are going to give up inside. Having an isolated one storage facility is not a good business investment. Clearly, we have multiple storage facilities and we also have energy review across the entire U.S. and Canada that gives us a little bit better platform to be able to consolidate into if and when they’re ready to consolidate. Dean, do you want to comment on peoples use with their perspective?
Dean Liollio: Yeah, Ethan, Greg is exactly right. I mean when you look out there, I think it’s going to come down to how committed these, let’s say one owner facility, owners of one facility are, how patience they want to be, things will change, but are they committed to that? I think some of them got in late and thought things we’re going to continue as they were a few years ago. And I think you will see some reevaluation of what they might do particularly as we go to the next two to three years. So that’s what we’re seeing. I think the owners of facilities that are committed to it, and have a large portfolio I think they are patience, and it comes down to the strength of the support in the past there. So I think you will see some or we will see some opportunities, but it comes down to commitment and patience to the business.
Ethan Bellamy – Robert W. Baird & Co.: Thank you. Switching gears to back, Greg, you talked about expectations sort of volumes coming out of the EFS and Permian. What’s your expectation for the Niobrara? And do you think the way close to expansion is adequate to cover those volumes or do you take another expansion or another line is in order?
Greg L. Armstrong: Well, I think both the expansion of likely and also we’re putting in a rail facility at Tampa and we’ve got some volume metric commitments sit and behind there, then we’ve got certainly some other assets near that they can provide additional relief. So I think ultimately moving volumes out of the Niobrara probably won’t be the problem of question is as where should they go. And at this point in time, rail provides a better swing factor for those volumes on the margin than additional line into Cushing. And so ultimately where they should be routed to is a little bit of function of just how fast they build and power the market shape up. Harry, will you agree with that?
Harry N. Pefanis: Yeah, between Carr and our Tampa facility, we will have 300,000 barrels a day of rail capacity down there. You got local refinery demand that’s 50,000 or 60,000 barrels a day and then you got like the expansion of the 160 a day so...
Greg L. Armstrong: We think it’s probably going to be adequate, and clearly once we have, I think in early 2014, we expect to have our first half of 2014, we expect to have our Bakersfield unloading facility and that would give you access to the market. Right now, that’s clearly a pretty good premium and once we get it there, we have the ability to distribute that crude to our existing pipeline system. So again it’s a dynamic market but if you just look at the current slide of alternatives that take it to market, you would be probably looking at an incomplete picture. That’s going to change over the next 12 months to 16 months.
Ethan Bellamy – Robert W. Baird & Co.: Thanks guys. Appreciate it.
Operator: And we have question from Mark Reichman with Simmons. Please go ahead.
Mark Reichman – Simmons & Company: My questions have been addressed. Thanks.
Greg L. Armstrong: Thanks, Mark.
Operator: Thank you. And our last question, it will be from the line of Dennis Coleman with Bank of America Merrill Lynch. Please go ahead.
Dennis P. Coleman – Bank of America Merrill Lynch: Great. Thanks and good morning. Obviously lot of exciting market stuff going on here. Wonder if I might just finish with more Monday question about the balance sheet in the credit rating. Encouraged to hear that you’re targeting that high BBB range and you and a couple of your peers seem to be poised for that. I wonder as you’re thinking about that, are you thinking that from here which your credit ratios are quite strong, are you thinking you need further improvement to achieve that high BBB and maybe just talk about how your conversations with your agencies are going in that regard?
Greg L. Armstrong: Dennis, do we think we need to improve our credit profile or balance sheet from here? I think the short answer will be no. We think as we look at kind of the group of MLPs that if the agencies do open up the BBB+ equivalent, our staffs and size and performance and credit metrics are right there with the group that would be listed for that. And so ultimately as I kind of commented, we think our performance how we manage the capital structure over large of number of years is there, once you decide to potentially open up that that top level of BBB+ criteria. We think that capital markets in U.S. in that same light with that we trade to that. Clearly, again the agencies have to take the step to say yes, we’re going to have a BBB+ MLP and so we’re hopeful that that occurs.
Dennis P. Coleman – Bank of America Merrill Lynch: Okay.
Dean Liollio: But I just expected…
Dennis P. Coleman – Bank of America Merrill Lynch: I think the performance does speak for itself. It sounds more like its agency decision than financial. So okay, thanks very much.
Greg L. Armstrong: Thank you, Dennis.
Operator: Thank you. And I’ll turn it back to our speakers for any closing remarks.
Greg L. Armstrong: We appreciate everyone for participating in today’s call and we know it’s been long, hopefully it’s been informative and we look forward to updating you in our call in May. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes our conference for today. Thank you for your participation and for using AT&T’s Executive Teleconference Service. You may now disconnect.